Operator: Good afternoon. Welcome to Fabrinet's Results conference call for the first quarter of fiscal year 2022. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to your host, Garo Toomajanian, Investor Relations.
Garo Toomajanian: Thank you, operator, and good afternoon, everyone. Thank you for joining us on today's conference call to discuss Fabrinet's financial and operating results for the first quarter of fiscal year 2022, which ended September 24, 2021. With me on the call today are Seamus Grady, Chief Executive Officer; and Csaba Sverha, Chief Financial Officer. This call is being webcast, and a replay will be available on the Investors section of our website located at investor.fabrinet.com. During this call, we will present both GAAP and non-GAAP financial measures. Please refer to the Investors section of our website for important information, including our earnings press release and investor presentation, which include our GAAP to non-GAAP reconciliation. In addition, today's discussion will contain forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management's current expectations. These statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise them in light of new information or future events, except as required by law. For a description of the risk factors that may affect our results, please refer to our recent SEC filings, in particular, the section captioned Risk Factors in our Form 10-K filed on August 17, 2021. We will begin the call with remarks from Seamus and Csaba, followed by time for questions. I would now like to turn the call over to Fabrinet's CEO, Seamus Grady. Seamus?
Seamus Grady: Thank you, Garo. Good afternoon, everyone, and thank you for joining us on today's conference call. We had a strong start to fiscal 2022 with top and bottom line results for the first quarter that exceeded our expectations. Demand trends remain robust across our business, which contributed to revenue reaching $543.3 million, more than $13 million above the high end of our guidance. We continue to execute very effectively with revenue upside falling to the bottom line as reflected in our non-GAAP net income of $1.45 per share, which was also above our guidance range. From a revenue perspective, we had a particularly strong quarter for optical communications, which grew 10% from the fourth quarter and 24% from a year ago. As Csaba will detail in a moment, strong optical communications demand was evident in both telecom and datacom. We continued to execute well despite the component supply constraints that we and many others continue to experience. During our last call, we estimated that we would see a $25 million to $30 million revenue headwind in the first quarter from these constraints. We are pleased to report that the actual impact was at the lower end of that range. Our ability to overcome many of these component charges was most evident in our record optical communications results. Component charges in the automotive markets' extremely lean supply chain resulted in a moderate decline in automotive revenue from the fourth quarter. As we look to the second quarter, we are optimistic about continued strong demand across our business and are anticipating healthy overall growth despite persisting supply chain headwinds. Operationally, I'm very happy to announce that our COVID-19 vaccination program for employees in Thailand has been a great success and that, at this point, 99% or virtually all of our employees in Thailand are now fully vaccinated. I'm also pleased that we were successful in delivering first quarter margins within our target ranges despite these additional COVID-19 related costs in the quarter. At our Chonburi campus, construction of our second building is progressing well. This building will add approximately 1 million square feet or 50% to our global footprint, substantially increasing our manufacturing capacity. We are on-track for construction to be completed around the end of the fiscal year. This schedule is extremely timely since based on continued customer demand, we now anticipate that our first building in Chonburi will be effectively fully occupied when our second Chonburi building opens for business. In summary, after a very strong first quarter, we are optimistic that Q2 will represent another strong quarter for revenue and profitability. Demand trends remain strong, and we are excited that our second building in Chonburi will be coming online just at the right time to enable us to continue meeting anticipated demand and extend our business momentum in the years ahead. Now I'd like to turn the call over to Csaba for additional financial details on our first quarter and our guidance for the second quarter of fiscal 2022. Csaba?
Csaba Sverha: Thank you, Seamus, and good afternoon, everyone. We are off to a great start for the fiscal year with record revenue and non-GAAP profitability in the first quarter. Revenue of $543.3 million was well above our guidance and represented an increase of 7% from the fourth quarter and 24% from a year ago. As we continue to execute very efficiently, our top line outperformance fell to the bottom line, with non-GAAP earnings of $1.45 per diluted share, which also exceeded our guidance. This result includes approximately $0.05 per share in foreign exchange gains, offsetting the expenses related to our vaccination program that we incurred in Q1. Looking at the quarter in more detail. Optical communications revenue was $427.3 million, up 10% from the fourth quarter and made up 79% of total revenue. Within optical communications, telecom revenue increased 9% from the last quarter to $338.6 million, a new record, and datacom revenue of $88.7 million increased 15% from Q4. By technology, silicon photonics products reached a record $135.1 million or 25% of total revenue and was up 23% from the fourth quarter. Revenue from products rated at speed of 400 gig or higher was $173.3 million, up 30% from the fourth quarter and 149% from a year ago. Revenue from 100 gig product increased modestly from Q4 to $135.6 million. Based on continue strong demand, we are expecting to see strong sequential growth in optical communications in the second quarter. Nonoptical communications revenue was $116 million or 21% of total revenue, representing a 25% increase from a year ago, but a decrease of 5% from the fourth quarter. While as Seamus noted, the overall impact of component shortages was at the lower end of our expectations for the quarter, these constraints were more apparent for nonoptical products, especially in automotive. With the majority of our sensor revenues serving automotive applications, we are now reclassifying automotive revenue and other nonoptical communications revenue to include historical sensor revenue, which has represented less than 1% of quarterly revenue for the past two years. On this combined basis, automotive revenue was $48.2 million, a decrease of 8% from last quarter. While we don't intend to break this out in the future, for a more direct comparison purposes, automotive revenue, excluding sensors, declined 8% sequentially. Industrial laser revenue was $37.5 million, a decline of 9% from Q4, but stable when viewed on a trailing 12-month basis. Other nonoptical communications revenue was $30.3 million, up 7% from the fourth quarter. This category now includes a portion of revenue that was previously classified as sensors. Now turning to the details of our P&L. Unless otherwise noted, profitability metrics are on a non-GAAP basis. A reconciliation of GAAP to non-GAAP measures is included in our earnings press release and investor presentation, which you can find on our website. Gross margin was 12.1%, down 20 basis points from Q4, consistent with our expectation, considering the expenses related to our vaccination program annual merit increases. Operating expenses in the quarter were $13.2 million or 2.4% of revenue, resulting in operating income of $52.5 million or 9.7% of revenue. Effective tax rate was 1.2% in the first quarter, and we continue to anticipate that our tax rate in the fiscal year 2022 will be approximately 3%. Non-GAAP net income was a record at $54.2 million or $1.45 per diluted share. On a GAAP basis, net income was $1.20 per diluted share. Turning to the balance sheet and cash flow statement. At the end of the first quarter, cash, restricted cash and investments were $528.6 million, compared to $548.1 million at the end of the fourth quarter. Operating cash flow was $39 million. With CapEx of $34.6 million, free cash flow was $4.4 million in the quarter. We did not repurchase any shares during the first quarter. We remain committed to return surplus cash to shareholders through a 10b5-1 share repurchase plan, combined with opportunistic open market share buybacks. Currently, we have $81.2 million in our share repurchase authorization. Now I would like to turn to our guidance for the second quarter of fiscal year 2022. After a strong start to the year, we are optimistic that our momentum will continue in the second quarter. We expect strong top line growth despite similar revenue headwinds from component shortages that we experienced in the first quarter. We estimate that the ongoing supply cost change will again impact our second quarter revenue by approximately $25 million to $30 million. With that backdrop, for the second quarter, we anticipate revenue in the range of $540 million to $560 million. From a profitability perspective, we anticipate non-GAAP net income to be in the range of $1.42 to $1.49 per diluted share. In summary, we are off to a great start to the year, and we are optimistic that strong demand trends and execution will combine again to produce even stronger results in the second quarter. Operator, we are now ready to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Henderson of Needham. Your line is open.
Alex Henderson: Thanks. Can you hear me OK?
Seamus Grady: Yes, we you fine, Alex.
Alex Henderson: Perfect. So congratulations. Nice quarter. Outstanding results in a tough environment. There's been a very strong order rate across almost every company that has reported results so far that has any hardware or systems and related characteristics to it. So I assume that they're -- you're getting an extension of the visibility well beyond the current quarter and well beyond traditional metrics. Can you talk to whether that's, in fact, the case? And if so, what kind of commentary are you hearing from these companies?
Seamus Grady: Yes. So we see the demand continuing to be quite strong. We have, I would say, longer visibility than the normal. Normally, we have about 13 weeks rolling forecast. Obviously, we have much longer visibility, much further out these days with the component supply constraints that we're all experiencing. So we do have visibility further out. We still just guide one quarter at a time, Alex, but the demand signals we're seeing do remain quite strong across our business.
Alex Henderson: So is it multiple quarters into next year that you have visibility to at this point? I'm not asking for your guidance, but rather your sense of visibility. I mean, Arista just was -- I just got off of their call a moment ago, they're talking about increasing their orders by $2 billion commitment to purchase the commitments, which is 4 times the prior order rate and have visibility all the way through '22. I assume that you're seeing some characteristics like that. Is that accurate or no?
Seamus Grady: Yes. It depends on the, I would say, the customers, and it depends on the specific commodities within the customer. I mean, in some cases, we have visibility out, I would say, close to a year at this stage. But it's really for the purpose of positioning component supply. We're not using it to forecast revenue or anything like that. But certainly for the purpose of securing component supply, we have visibility out to three, four quarters, which we normally would not have.
Alex Henderson: In the Q2 guide, can you give us any more granularity on the revenue growth expectation for telecom versus datacom? What's going on in that context?
Csaba Sverha: Alex, this is Csaba. So what we mentioned in our prepared remarks, we are anticipating telecom and datacom to be -- continue to be strong. So again, sequentially, we are guiding up at midpoint at about $550 million. So we do anticipate strong telecom and datacom to continue.
Alex Henderson: So no granularity between the two or any difference between the rates of growth?
Csaba Sverha: We are usually not providing guidance and breaking that down from a guidance perspective, but we do anticipate both of them to continue to grow.
Alex Henderson: Okay. And then I wanted to talk a little bit about the BOT. I'm looking at a chart of it that is at almost five-year lows. I think the last time it was at this level was back in July of 2017, which is a long time ago. Obviously, it's come off very hard since February, almost in a straight line. So how does that impact your numbers? Obviously, in the current quarter, it's a benefit. But I would think that given your costs are entire BOT, that should help your competitive position considerably or help your margins. How are you planning on benefiting from that?
Csaba Sverha: So yes. So as I mentioned on the prepared remarks, we had a $0.05 per share gain in the current quarter. That's the sheer fact of the revaluation of the balance sheet items. So as you know, we are continuing with our FX and currency hedging programs. So we usually hedged out three quarters ahead. So we are entering the quarter with 100% hedge position and then next quarter with 50% and 25% ahead. So obviously, if BOT stays in the current levels, we will see the benefits in our Q3 and Q4 and definitely a tailwind and makes our position more competitive as most of our cost base is in Thailand and Thai -- BOT. We do anticipate a tailwind from this assuming the curve stays in the same way.
Alex Henderson: And clearly, Csaba, I'm not asking what your hedging policy is, hedging policy hasn't changed. My question is, if we have the exchange rates stay at this level for an extended period of time, which is yes, nobody wants to forecast currency. So we're assuming it flat at this level. How will you handle that benefit? Will it be something that you use to go after competitive wins? And in this environment where things are sold out, will you use it to allow yourself some more pricing power on buying supplies and therefore, drive share gains? Or alternatively, will you feed some of it back into the margins? How should we think about your strategy relative to this level of BOT?
Csaba Sverha: So first of all, most of our material spending are still in U.S. dollars. So our labor and overhead spending is predominantly in BOT. So there is not much you can leverage there ahead. Obviously, we are not going to increase pay ahead to -- just to offset. So basically, what you should anticipate is some of this will obviously fall to the bottom line as we are realizing the gains from these forward contracts in the next couple of quarters. So that's definitely something you should anticipate in the gross margins and falling to the bottom line.
Alex Henderson: Perfect. And one last question. Could you talk about the facility coming online? I think you made some comments that it was coming online at the end of the year. Can you remind us what portion of capacity is coming on?
Seamus Grady: Yes. So the current new building, building as is -- as we know, it's finished and is ramping up and will be, I would say, fully occupied by the end of the fiscal year, at which point the new building, Building 9 will be coming online, and that's about 1 million square feet, just over a million square feet of space. So timing-wise, we think we've got the timing right. I think a little bit of good planning and a lot of look on our part. Building 8 has been filling up, maybe a little bit ahead of our expectations, which is great news and Building 9 will be coming online just at the right time. So about the end of the fiscal year, so middle of the calendar year next year, we should be up and running in Building 9 and effectively at or about full capacity in building 8.
Alex Henderson: Okay. One last question, then I'll cede the floor. Can you talk a little bit about systems? I'm not asking about any particular customer. But broadly, are you winning additional new systems customers? What the pipeline looks like? How should we be thinking about systems performance in the current period and current environment? Thanks.
Seamus Grady: Yes. We've had some success in that regard and where we're most effective, Alex, where we have a lot of the content already, so kind of bottoms-up vertical integration where we're building the content system builds on its own without the content isn't very exciting for us. But where we have the content, it makes -- it's very compelling both for us and for our customer, our target customer. Yes, we have a couple of, I would say, additional network system companies that we're talking with and working with, but nothing to announce at this point. But the pipeline is, I would say, strong and it's a question of how and when we can convert that pipeline into reality. And as we've seen in the past, when we have success in the complete network systems space, it can be quite significant and profound in terms of the impact on revenue. So there's a few more companies that we're continuing to work with but nothing to communicate at this point.
Alex Henderson: Great. Thanks for the great quarter.
Seamus Grady: Thanks, Alex. Appreciate it.
Operator: [Operator Instructions] Our next question comes from Samik Chatterjee of JPMorgan. Your line is open.
UnidentifiedAnalyst: Great. This is Angela Jen [ph] on for Samik Chatterjee. Congratulations on the strong quarter. Great to see.
Seamus Grady: Thank you.
UnidentifiedAnalyst: So I have first question more on the supply chain. So we would really appreciate any details you could provide about where the exact bottleneck might be? I know you mentioned the component costs were rising, but could you drill down a little bit more into that? I would appreciate any color. Thanks.
Seamus Grady: So the component constraints are pretty pervasive. It's not any one commodity in particular, it's pretty pervasive across the supply base. From our perspective, costs go up as we pass those costs on to our customers. Unfortunately, our customers have to bear the cost of the unfavorable variances. And we are seeing some sizable variances coming through from the supply base. But again, we have to pass those costs on to our customers. But it's not only one commodity, Angela, it's spread across several commodities, and it's also across all industries. If anything, I think maybe optical is a little bit less prone to it than automotive. We have a small amount of automotive business, let's call it traditional automotive business. That supply chain tends to run quite lean anyway. So maybe here's a little bit worse on the automotive side with maybe a little bit more bigger room in the optical space. But it's still -- it's affecting every customer, every product. And I'm afraid I don't have any great wisdom, or any great insight as to when it's going to improve. We see it continuing for the foreseeable future. And it's certainly, from our perspective, we have not seen it improve. It's continuing, there about 25, I think, we sized it last quarter, about $25 million to $30 million in potential headwind for the quarter. It came in at the low end of that range. And I think we've baked in about the same headwind, $25 million to $30 million headwind into this quarter. So it's continuing, and it's maybe stabilized a little bit, but it certainly has not improved.
UnidentifiedAnalyst: Great. I appreciate the commentary. And then just last question. On the optical communications side, I mean, these are really impressive numbers. Would love to hear more about what exactly might have driven that? And if you see those trends continuing? I mean, I can see like the 400G ramp in silicon photonics must be driving part of it, but any additional detail there would be appreciated. Thank you.
Seamus Grady: Yes. I think you kind of hit it the nail on the head. The 400G silicon photonics and also the 400ZR starting to take off, we certainly feel very good about the optical communications business, and again, both across telecom and datacom. But yes, it's a good time right now with that transition from, let's say, 100 and 200 gig to 400 gig. We're right in the middle of that. And 100 gig remains strong as well. So we have 400 gig ramping, 100 gig remains strong and then 400ZR is starting to come on as well. So overall, the demand segments we're seeing are quite strong, and we're quite optimistic about that.
UnidentifiedAnalyst: Great. Thank you.
Seamus Grady: Thank you.
Operator: Our next question from Fahad Najam of MKM Partners. Your line is open.
Fahad Najam: Thank you for taking my call. I apologize, I missed much of your prepared remarks. Couple of earnings going on today. So if I'm asking you repeat, I apologize. But can you help us understand in terms of the strength you saw in the quarter and the trends you're seeing in intra data center silicon photonics versus telecom and silicon photonics. And then I have a follow-up on 400ZR
Seamus Grady: So we classify, let's say, intra data center, silicon photonics in our telecom revenue. It's not in our datacom number. Now within our telecom number, we don't really break out, let's say, traditional telecom versus silicon photonics-based intra data center products. So we don't really break that out. But what I would say is, overall, the demand trends we're seeing are quite strong across the board in both telecom and datacom. And it is encouraging -- as we look out, it is encouraging to see those demands. But further granularity or breaking out between, let's say, traditional telecom and silicon-based intra-data central products. We don't really break that out, Fahad.
Fahad Najam: Got it. And then on the 400 gig ZR, I'm not sure if it is still material for you to call it out individually. But if it is, I would love to hear what 400-gig ZR revenue is looking like. But if you can't answer that, can you just answer us, are you seeing more than one supplier for 400 gig ZR? Or there more than one customer now beginning to deploy 400-gig ZR? Is it still predominantly a single vendor story?
Seamus Grady: No. It's multiple vendors, I would say. And you're correct, we aren't breaking out 400ZR at this point, but we are starting to see some exciting activity at a handful of customers. And they're at various stages of -- we're at various stages of ramping production with those customers. Overall, it's still relatively small. It wouldn't be meaningful overall. But certainly, the projections we're seeing performance look very encouraging. And we're optimistic that we'll continue to see 400ZR ramp and become more meaningful over time. We have, I would say, three or four customers in 400ZR. The reason I say three or four is one of the customers maybe a little bit behind in the development cycle. But certainly, we have three, I would say, strong customers with solid demand and a fourth one coming on as well. So we have multiple customers in that space.
Fahad Najam: Got it. Seamus, if I could ask you, your -- one of your lead customers announced the next-generation 1.2 terabit product that probably will likely ship sometime at the end of '22 or early '23, but it involves a unique CMI 8 pluggable. Can you speak to the revenue opportunity you see in terms of emergence of these new MSAs, the new pluggables? How much do you think that is kind of becoming an incremental growth opportunity for you with this large customer? Is that --
Seamus Grady: I'm not sure -- I'm not sure which customer or product you're referring to, Fahad.
Fahad Najam: Cisco announced a new form factor pluggable called CMI 8. And I was just wondering how much of an incremental upside opportunity would that be because it's a new form factor. So whenever you have a new factor, how do you -- how should we think about the introduction of new form factors to revenue opportunities? Is that something incremental? Is it because it's a new form factor, is it -- because beyond just faster, more higher capacity touch system?
Seamus Grady: Yes. So in terms of pluggables, certainly, our -- it's a big, big part of our business, obviously, manufacturing global kind of -- we're form factor, I would say, agnostic. We don't mind what the form factor is. We're really more interested in the content and the technology within the pluggable and making sure that we're making as much as we can the content that goes into the pluggable and also make it a pluggable. So without talking about any customer in particular, because we generally don't until we're certain what they've announced themselves. Any move to new form factors that gets more demand for pluggables, we're always excited about. But I don't really have a -- I'm afraid to comment on the specific example you talked about.
Fahad Najam: Appreciate the answers. Thank you.
Seamus Grady: No, problem. Thank you, Fahad.
Operator: Thank you. I'm showing no further questions at this time. I'll turn the call back over to Seamus Grady for his closing remarks.
Seamus Grady: Thank you, operator. We're pleased with our excellent start to the fiscal year with results that exceeded our guidance ranges. We're optimistic that we'll be able to deliver another strong quarter in Q2, and we look forward to speaking with you again. Thank you, and goodbye.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you all for participating. You may now disconnect. Have a great day.